Phillip Bentley: Good morning, everyone, and welcome to Mitie's interim results presentation for the 6 months ended 30th of September 2025, H1 FY '26 as we call it, which as usual, we are broadcasting live here from The Shard We're also joined today by Chris Rogers, Mitie's new Chairman. Welcome, Chris. And I also welcome Sam White. Sam White is our long-awaited and much welcome Managing Director of Technical Services division, who joins us from Costain on the 1st of December. So thank you, Sam, for slipping off quietly here. Now it's just over 2 years ago since our Capital Markets event that we held here, where we launched the Mitieverse, if you remember, in our facilities transformation vision. And we've now reached the halfway mark in delivering our FY '25 to FY '27 3-year plan. As a reminder, our business model set out to leverage our scale, our technology and our capabilities to unlock the value of our customers' estates through facilities management, facilities transformation and with the recent acquisition of Marlowe Facilities Compliance. And as we say, to become the future of high-performing buildings and places. So -- and at this stage, I'm pleased to say that the business is on track and momentum is growing. Encouragingly, we have maintained double-digit revenue growth for the fifth successive 6-month period, significantly outpacing the market, and we've shown good margin resilience despite the headwinds from national insurance and wage inflation. We've delivered record contract wins again and renewals and have continued to grow the order book and pipeline again. Free cash flow generation was good and our leverage at 1x EBITDA is modest, hence, why we launched in October a new GBP 100 million buyback program over the next 12 months. We're confirming our FY '26 EBIT guidance of GBP 260 million with the integration of Marlowe going well. And AI, as I'll show, is having a wide impact in the business. And we're on track not only to deliver our ambitious FY '27 targets, but also to take us beyond '27 with our growing momentum. So I'll discuss all these points shortly after Simon takes you through the H1 '26 numbers.
Simon Kirkpatrick: Thanks, Phil. Good morning, everybody. So as Phil said, we're now halfway through our 3-year plan. So before getting into the detail of the half 1 results, I'll give a little bit more color to the financial progress that we've made so far and the financial model that underpins our strategy. Our model is based on profitable growth and free cash flow generation, enabling us to compound earnings, drive value accretion and increase shareholder returns. At the Capital Markets event in 2023, when we launched the MITIEverse, we said revenue would grow in high single digits. At the halfway point of our plan, it's exceeded that target, growing at 12% a year, supported by the increasing pipeline and much larger order book that Phil just referenced. Operating profit is growing a little faster than revenue at 13% a year. And it's worth reminding ourselves that back in 2023, consensus profit for FY '26 was GBP 207 million. Today, we're forecasting GBP 260 million, having made 6 upgrades since then. Margins have been resilient despite the material external headwinds, and this good growth and increasing profitability has led to significant free cash flow generation, enabling us to return cash to shareholders and to pursue value-accretive M&A. As a result of these actions, our TSR since the capital market events is 68%, well above the FTSE 250 average of 30%, and we're compounding earnings with EPS growing faster than revenue at 18% a year. So with that as the backdrop, I'll move on to cover the half 1 results, starting with the headlines. Revenue is up 10.4% in the half to GBP 2.7 billion, driven by good organic growth of 6.4%. Operating profit has grown by 7.6% to GBP 108.8 million. And as Phil said, we've maintained margins at just over 4% despite significant profit headwinds. EPS is up 5.6% to 5.7p a share with profit growth and share buybacks offset by higher net finance costs. We've declared an interim dividend of 1.4p a share, up 7.7% on FY '25. And finally, we've had a free cash inflow of GBP 51.9 million with average daily net debt of GBP 332 million. Moving on then to cover the performance in more detail and turning firstly to revenue. This slide shows the key drivers of the revenue growth in the first half of the year with the good momentum from FY '25 continuing both organically and inorganically. The first block of the chart shows GBP 70 million of growth in core FM from wins and losses and incremental growth on existing contracts with wins significantly exceeding losses. Organic projects growth of GBP 48 million was driven by good growth in both divisions and includes a GBP 13 million reduction in revenue in Mitie Telecoms, where we've exited unprofitable contracts. Pricing accounts for GBP 77 million of additional revenue, and we've shown separately on this bridge, the GBP 41 million headwind from completion of the high-margin one-off surge security work last year. When we combine these 4 blocks, total organic growth for the half is 6.4%. Finally, acquisitions contributed 4% of growth in the half. This block includes the infill acquisitions we've made in the last 18 months, including Argus Fire and ESM as well as the Marlowe acquisition, which added GBP 51 million of revenue. Sticking with the group numbers. Next, I'll cover operating profit. And this slide shows the key financial themes for the half on a profit bridge, highlighting the resilience of our business model. Strategic profit growth of GBP 31.3 million more than outweighed GBP 23.6 million of profit headwinds. Our growth strategy is focused on core FM, projects and acquisitions, underpinned by margin enhancement initiatives. Core FM and projects grew by GBP 6.4 million in the half, driven by new wins, combined with a good projects performance across most sectors. These upsides significantly outweighed lost contracts as well as one specific contract provision, which reduced profit by GBP 5.4 million. I'll come back to this shortly when I cover Technical Services. Next, we added GBP 4.7 million of incremental profit from acquisitions, including GBP 3.1 million of profit from Marlowe. We've made good progress with margin enhancement initiatives, delivering GBP 10 million of profit, and we've turned the telecoms business around, making a small profit in half 1, which is a GBP 10.2 million year-on-year improvement. In terms of headwinds, the completed surge response work was a GBP 7.8 million profit headwind. We made GBP 6.2 million of investments to drive growth, including an extra GBP 2.8 million of contract mobilizations and the headwind from National Insurance and inflation was GBP 9.6 million, which I'll cover in a bit more detail now. Once again, we were successful in managing inflationary pressures in the period. Our contractual protections and strong customer relationships enabled us to pass on 95% of cost inflation to our customers, resulting in only a GBP 3.4 million reduction in profit. We expect cost inflation and pricing recovery in half 2 to be broadly consistent with half 1, resulting in a net P&L impact for the year of around GBP 8 million. We said in June that we expected our employers' NI bill to go up by around GBP 50 million in FY '26 and that we'd recover around GBP 35 million of that through contractual protections and commercial negotiations. Recovery in the first half of the year has been slightly better than we expected, leaving a residual cost of only GBP 6.2 million. As a result, we're forecasting a full year net impact of around GBP 13 million, all of which will be offset by MEI. Moving on then to cover the divisional performance. Over the past 2 years, we've been simplifying our divisional structure, consolidating 4 divisions into 2. First of all, we broke up Central Government and Defense, moving the more soft services-focused central government business into Business Services and the more engineering-focused defense business into Technical Services. We've also broken up Communities with the majority of it being amalgamated into Technical Services other than Immigration and Justice, which now sits comfortably in Business Services alongside the Security business. Turning then to Business Services in more detail. Revenue grew by 15.1% to GBP 1.4 billion, with particularly good performances in Security, Hygiene and in Spain. The Security business grew by 12.2% in the half despite the GBP 41 million headwind from completion of the surge work last year. Growth was driven by Fire Safety and security projects, both organically and inorganically as well as new wins and pricing. Growth of 13.3% in Hygiene was driven by some significant wins in FY '25 and pricing, and the business in Spain has grown by almost 1/3 as a result of the expansion into security and significant wins in the public sector. Underneath the total revenue line, we call out projects revenue, which has increased by 30.5% to GBP 167 million as a result of the growth in the fire safety and security projects that I just mentioned. Profitability in Business Services has been resilient, in line with the first half of last year at GBP 85.3 million, but margins have reduced by 90 basis points to 6%. Revenue growth, MEIs and the contribution from Marlowe have been positive drivers of profit in the half, but they've been offset by the headwinds from cost inflation, national insurance and the completion of the high-margin surge work. Moving on to Technical Services, which has grown by 5.4% to GBP 1.3 billion. Engineering, which includes our private sector maintenance contracts and larger engineering projects, grew by 4.8% in the half. New wins, project work and pricing more than offset the loss of one notable contract and the contracts that we've exited in the telecoms infrastructure business. The Defense growth of 5.2% and the HLG&E growth of 7.1% were largely driven by increases in project work. In Defense, this included projects for the DIO in Gibraltar and Cyprus. And in HLG&E, the projects growth was largely in the health care sector across a number of hospital contracts. These DIO and HLG&E projects, combined with good growth in data centers and power and grid, helped total TS projects to grow by 10.6% to GBP 469 million. This project's growth combined with MEIs and the turnaround in the telecoms business drove a 22.9% increase in profit, boosting margins by 60 basis points. However, although margins have improved, they continue to be impacted by the headwinds from inflation and national insurance as well as a provision for loss-making contract. As I said earlier, this contract was a GBP 5.4 million headwind to Technical Services profit in the half, but it will complete in May 2026. It sits in a structurally low-margin sector, which we're exiting. Without this contract provision, TS profits would have increased by 36% and margin would have been 40 basis points higher. We expect TS margins to improve significantly in half 2 as projects revenue and margin enhancement initiatives ramp up. My final P&L slide shows the consolidation of the group numbers with the business services and technical services profits that I've just talked through, combining with GBP 26.9 million of corporate costs to make up the GBP 108.8 million of group profit and the 4.1% margin. Corporate costs are a little higher in the period as a result of inflation and the national insurance increase. My last 2 slides cover cash flow and the balance sheet, and we generated a free cash inflow of GBP 51.9 million in the half, with the key driver being the operating profit of GBP 108.8 million. Other items was a GBP 25.6 million outflow of cash and was largely made up of acquisition-related costs as well as the costs of delivering our margin enhancement initiatives. Next, we have a cash outflow from working capital of GBP 24.4 million, driven by 3 key factors: our seasonal cash outflow in the first half, where we pay suppliers for the high volume of project work that's completed at the end of the previous year, the growth in the projects business, which consumes more working capital than FM and longer payment terms on a number of new wins, particularly in the retail sector. Offsetting these outflows, we've made further process improvements and rationalized our supply base. CapEx, leases, interest and tax was a GBP 61.1 million cash outflow, GBP 13.8 million higher than the first half of last year. The increase was driven by GBP 8.7 million of CapEx, largely for new contract mobilizations and GBP 3.7 million of additional interest as a result of our capital deployment actions. These capital deployment actions account for GBP 305.1 million of cash outflow, including GBP 41 million of dividends and GBP 228 million of cash consideration for Marlowe. Finally, at the bottom of the page, we see the overall increase in net debt of GBP 272.4 million. This increase results in a closing net debt of GBP 471 million and an average daily net debt of GBP 332 million, with the average leverage ratio of 1x remaining at the lower end of our targeted range. Debtor days are consistent with FY '25 and creditor days have improved as we rationalize our supply base and continue to improve our processes. ROIC reduced by -- ROIC reduced to 16.3% as a result of the Marlowe acquisition, where we've added GBP 380 million of invested capital, but only 2 months of operating profit. And finally, net assets increased to GBP 544 million after adding the net profit for the year and the shares issued for Marlowe, offset by dividends, share buybacks and market purchases for employee share schemes. So in summary, we've made a good start to FY '26. Revenue growth has been better than our high single-digit guidance, and we've maintained our margins despite the investments we've made and the headwinds from inflation, national insurance and the completion of the search work. We made a positive step forward in EPS despite higher interest costs. We generated good free cash flow and ROIC has fallen below 20%, but only temporarily. As we look ahead to the second half of the year, we expect revenue growth to continue in double digits. Margins will be higher than in half 1, and we remain confident of achieving our full year profit target of at least GBP 260 million. Finance costs will be higher as our leverage increases due to the acquisitions and the share buybacks and EPS will grow despite these higher finance costs and the shares issued to acquire Marlowe. Completing the FY '26 guidance, we expect free cash flow to be more than GBP 120 million this year and ROIC will increase back towards our targeted 20%. And on that note, I'll hand back to Phil.
Phillip Bentley: Thank you, Simon. They seem a decent set of results to me. But I think more importantly now is to talk about where we are on our strategic journey since we pivoted our business model from service-led facilities management to project-led facilities transformation and then now to regulation-led facilities compliance. Just as a reminder, our strategic plan was focused on growth, growth over 3 pillars. And the foundation of our strategy pillar 1 was centered on growth from the core. Key account growth and scope increases, delivering condition-based maintenance, risk-based security, demand-led hygiene for our customers. And this is a heartland of facilities management. Pillar 2 of our growth strategy was centered on our projects capability and infill acquisitions, transforming the built environment, better workplaces, greater energy efficiency, higher security. This is a heartland of facilities transformation. And our third pillar of growth was M&A, bringing in new capabilities to meet our customers' evolving needs in sustainability, environmental compliance and fire and security. This was our move into facilities compliance with the acquisition of Marlowe. And taken together, our strategy set out to build an unrivaled set of integrated capabilities to deliver the future of high-performing places. Now any successful strategy needs to be underpinned by attractive macro trends and [ Mitie's ] from decarbonization, higher security, repurposing the grid, accelerating data center investments to increase public sector spending in defense, in justice, in health care and immigration. We're fishing where the fish are. And since we launched our new strategy, 2 further macro trends have emerged. Number 9 here, building compliance regulations are raising compliance requirements. Number 10, investments in water infrastructure will top GBP 100 billion over the next 5 years. These are themes that I will return to shortly. In terms of our performance, as Simon touched on, H1 revenue was good. New wins lapping a strong H1 FY '25 plus renewals grew to a record GBP 3.8 billion total contract value in the period. And more importantly, as a leading indicator of growing momentum, our order book grew 31% year-on-year to GBP 16.5 billion TCV. Now we split the order book by time buckets this time. And on the lower left, you can see that revenue expected to be produced from the order book over the next 3 years has grown by 32% to GBP 8.6 billion of TCF since this time last year. And on the right, you'll see how our pipeline has not only grown in size from GBP 17.6 billion TCV 2 years ago to GBP 33 billion TCV today, but it's also grown in quality. Let me explain that. The pipeline funnels opportunities from prospecting at the very early stages, such as identifying future bids on public sector frameworks through to a pre-qualification questionnaire as a bit of a mouthful, and becoming qualified to bid. And then on to a bid submission itself with the final stage of BAFO, best and final offer before a decision is finally made by the client. And as you can see, the quality of our pipeline has been growing. And at this time, at the moment, we've got over GBP 2 billion of TCV sitting in BAFO. This is another leading indicator of our growing momentum, particularly given our improving bid win rates. And it's this growing momentum anchored in the 4 strategic imperatives shown here, which gives us confidence that our business model will not only deliver our FY '25 to FY '27 ambitions, but will also sustain growth beyond this current 3-year plan. Sustaining growth, firstly, by capturing more of our clients' facilities management share of wallet by upgrading, cross-training our strategic client directors, SCDs, we've identified over GBP 1 billion of additional client spend that we could deliver. Secondly, sustaining growth by turbocharging projects, building a GBP 2 billion-plus division over the next few years and sustaining growth thirdly, in compliance and water. Following the Marlowe acquisition, we now have a GBP 550 million Fire & Security Environmental Services compliance business, and we aim to grow this to GBP 1 billion in the coming years. And finally, as our AI strategy drives efficiencies and costs out, we see margins expanding beyond FY '27. Now a little bit of detail on each of these imperatives, starting with SCD, strategic client directors and client share of wallet. By deepening our relationships within our strategic accounts, we know we can deliver more value to our clients. Integrated facilities management, IFM is only currently delivered to 40% of our top 50 contracts just 10 contracts where we've completed a share of wallet deep dive with Kevin, our Sales Director, we've identified a further GBP 500 million of work in security and hygiene, engineering and projects and in compliance currently delivered to our clients by third parties. Winning here requires more senior business builders with new propositions, a wider understanding of Mitie's capabilities and how AI and data can drive insights and upsells with stretch incentivization. And our best SCD of our largest strategic client is now leading this new team. And we know how to do it when done well. Take 2 examples here on the right. One is a retailer has gone from annual revenues of GBP 16 million at the start to an estimated GBP 55 million this year. We've added more facilities management services, increased projects. roof-mounted solar panels, for example, is a big push for this client. And that's before we talk to them about refrigeration services where we announced an infill acquisition today or about F-Gas compliance and water services for Marlowe. And second is a transport customer with annual revenues of GBP 25 million in FY '14. And today, that number is GBP 119 million, and we've added more sites and more services. And turning to the blue triangle in the upper right there, we always expected growth from the core of facilities management to be the biggest contributor of our 3-year plan. Growth from the core for me is probably the most important thing that we think about day-to-day. And we've outperformed our own expectations here and have already delivered over 90% of our GBP 600 million incremental growth target at the halfway stage of our strategy. Our Block 2 growth imperative is turbocharging projects in facilities transformation. And by any measure here, our performance has been outstanding with strong growth from the capabilities we've added in fire & security, power and grid and building engineering. An order book of GBP 2.9 billion today, up 53% year-on-year, a pipeline of GBP 6.9 billion, up 130% year-on-year and an average project size now at GBP 270,000 per job, up 80% year-on-year. And turning again to the Maroon triangle this time on the upper right. Again, we've outperformed our own expectations here and have just about delivered all of the GBP 200 million incremental growth that we set for FY '27 at the halfway stage in our strategy. Our final growth imperative is in the GBP 7.6 billion facilities compliance market, where the acquisition of Marlowe positions us as the leader -- market leader, providing us with a platform to accelerate growth. Adding Marlowe's capabilities to Mitie's existing Fire & Security business created a differentiated total fire offer with a full suite of active fire and passive fire solutions as well as creating the market-leading provider in security systems. But what really excites us about Marlowe on the right-hand side is their capabilities to build a total managed water solution. And as some of you will have already heard me say, water is the new energy. We buy it, we meter it, we recycle it and we report the usage of it. We've already signed up 2 existing Mitie clients to take these new water services literally in the last couple of months. But the really big prize for me is AMP8 Asset Management period 8, the latest set of regulations from Ofwat that will see GBP 104 billion invested in water efficiency, resilience and sustainability between 2025 and 2030. This is a material opportunity for Marlowe Environmental to deliver end-to-end solutions across the water services value chain from sourcing and metering through to transport, wastewater management and compliance and delivered at national scale. Simply put, our aim is to be the provider of choice for our clients as they navigate increasingly complex regulatory requirements and sustainability goals built around water. So take the public sector, for example, previously, Marlowe did not have pre-qual approval in public sector bids. But Mitie is a cabinet office approved strategic supplier, and we're already now precleared to participate in some material upcoming public sector bids. And on the right upper triangle, again, we set a target there of GBP 400 million of revenue from M&A step out. The step-out being facilities compliance. It's early days after less than 2 months of owning Marlowe business, but revenues will now grow rapidly as Marlowe scales up to approach the GBP 400 million target. Now whilst we are on the subject of Marlowe, it would be remiss of me not to take a moment to update you on our progress with the acquisition and the integration. The business is trading in line with our expectations and the synergy work streams are moving ahead. We're on track to deliver at least GBP 15 million of cost synergies in FY '27, and we'll exit FY '27 having fully integrated Marlowe and having captured the full GBP 30 million of synergies to be delivered in FY '28. We're removing duplicate corporate, administrative and other support functions through automation. We've reviewed procurement opportunities and moving the Marlowe supply chain to Mitie's preferred supply list and 3 sites in Marlowe's property portfolio have already been closed. We're exploring major efficiencies from automating field force scheduling and delivering route density savings. We've already migrated 1,500 of Marlowe's Environmental Services colleagues onto Mitie's HR platforms, putting in controls around pay rises and bonuses with the remaining fire and security colleagues to follow before the fiscal year-end. And we're migrating Marlowe's IT applications on to Mitie's Azure platform to raise cyber resiliency. So in short, we're making good progress. And of course, in FY '27 and beyond, Marlowe will be a positive to the group's total overall margin. A final contributor to our 5% margin target. And the last of our 4 imperatives is the execution of our AI strategy, reimagining and automating workforce and workflow management to drive better service efficiencies, reduce back-office costs across the business and drive margin accretion. And I've tried to capture our thinking in the next 2 slides, going back to the MITIEverse of the center there, the Mitie Command Center, which we introduced at our Capital Markets event in October '23. We haven't forgotten about it, creating the single pane of glass of the built environment. And our AI strategy has 4 components. Upper left, all our core systems, which are already cloud-based have been AI-enabled or in the case of Workplace+ and SAP will shortly be AI-enabled. Lower left, all of our major customer apps, Merlin for risk and for cleaning, ARIA, ESME and Net Zero are all interconnected via our HARK connected workplace to the IoT platform and they're producing real-time data. And the upper right, the output from our core systems and apps feeds our leading enterprise insight platform, Mozaic360, developed on Microsoft Fabric and integrating all the operational data across all our intelligent solutions. Mozaic360 provides comprehensive operational and strategic insights into the daily operations of the built environment of our clients. And finally, bottom right, as it were, our task mining from SkanAI has led to a growing number of AI bots or agents, enabling smarter, faster, more consistent ways of delivering tasks. But the real game changer since we launched our 3-year plan is the power of agentic AI and agentic mesh using the Microsoft Copilot Studio platform to connect and orchestrate our AI agents to deliver a single pane of glass in the MITIEverse Command Center. In Technical Services, we're orchestrating those AI agents which deal with our clients, those that execute work orders, those that interact with the supply chain, develop life cycle upgrades, close out jobs in the CAFM. When completed, this agentic mesh will provide that single pane of glass for workflow management. And in the MITIEverse Command Center and Business Services, a single pane of glass for workforce management will mesh all our recruiting, vetting, onboarding, training, deploying payroll AI agents with outputs from the supervisor layer highlighting productivity numbers, best-in-class performance. And the final output from the MITIEverse Command Center will be a large language model, answering questions such as how does my building running costs compare to others? Or what's the optimum way of reducing costs by 10%. These are the questions that today, although we have much of the data, we simply didn't have the processing power to answer. But with the MITIEverse digital twin of the built environment, we'll be able to provide better service, greater insights to our clients and also at a lower cost. So my expectation is that we'll have completed our agentic mesh by summer '26. So if you need a bit of a line down after that, let me wrap up. We've had a strong first half in FY '26 with double-digit revenue growth and good profit growth. Contract wins and renewals are at record levels as is our order book and bidding pipeline. Cash generation is good, and it shows we can undertake value-creating acquisitions and deliver shareholder value from buybacks. It's not either/or at Mitie. FY '26 profit will be at least GBP 260 million, and the Marlowe acquisition is progressing well. AI efficiencies will underpin our 5% margin aspiration. And with 18 months to go, we're on track to not only deliver our stretching FY '27 targets, but with our growing momentum, we're confident our strategy will carry us into FY '28. So with that, let me now turn over to Q&A. Thank you. We need some mics. We've got [ Demolo. We've got Marie ].
Alex Smith: Alex Smith from Berenberg. Just 2 quick questions for me. First one on the projects division, the turbocharging. I guess the sizes of the projects have grown. Can you highlight any key areas of focus? And are you happy with the risk profile of those projects? And then number two -- sorry, just on the growth in the pipeline. Immigration and Justice seems to keep growing there. I guess, kind of Prism renewals and your entrance into that division. If you could provide some color on that, that would be great.
Phillip Bentley: So what I'll do is ask Mark Caskey, who runs our projects business. And I think -- I mean, this year, we should end close to GBP 1.5 billion. We've set a target of GBP 2 billion over the next couple of years. That's ahead of where we indicated before. And Mark, why don't you just give a bit of color. We had a Board meeting here earlier in the week, signing up some quite big projects in -- big opportunities in projects. So why don't you talk a little bit about that.
Mark Caskey: Happy to, Phil. So thank you. Where do we see the biggest opportunities going? If you go back to the slide, Phil talked about -- sorry, a pipeline greater than GBP 7 billion, which is more than double up from where we were this time last year. And the growth is really coming from 3 areas. Firstly, being data centers. Secondly, being in the power and grid space, you think of everything around buildings need connections to the power systems, you've got battery storage and renewable projects that are underway. And then lastly, there's a significant amount of momentum in the marketplace at the moment around retrofitting the built environment. And if you think about our -- a lot of our project work sits on top of our FM clients and we dedicate project managers to those FM clients, that's where we're seeing the natural uptake. The risk profile, we're so -- I mean, very rigorous around from a contracting perspective, we've invested in our commercial function as well. So we're really sort of like on the ball when it comes to margin profiles. A lot of our projects are short cycles. So even if we are doing larger projects, they're often broken down into numerous phases so we can control the price risk, the delivery risk and the scheduling to manage against ultimately our client expectations. So...
Simon Kirkpatrick: Just one -- thanks, Mark. Just one brief build on that, picking up on Mark's point about the short project life cycles. Phil picked it up on his slide, but you see on the turbocharging project side that the average size of our projects is GBP 270,000. So from a risk perspective, the majority of them are relatively small. They turn over relatively quickly. And importantly, 80% of them are with our existing customers. So we know the customers. We've got a good relationship. We can, therefore, negotiate decent commercial terms, and we know the estates that we're working on.
Phillip Bentley: And on the prison immigration, I thought I might bring Jason in and stand up, Jason, if you look at the camera that way because Mark, you were sort of off -- you're off screen there. So next time, I ask you back again, come to the front here. But Jason runs our Business Services division, as you know, our largest. And as Simon said, we've moved the immigration and justice because there's a security element of immigration and justice, absolutely in our case. And we're already the largest provider of security services in the U.K., and we're building a strong position in both immigration and in justice.
Jason Towse: Yes. Thanks, Phil. Look, the increased pipeline has been driven by, first of all, the announcements of the significant investments being made into the prison infrastructure, driven by the aging infrastructure currently in place and new prison places required. I think we have acquired leading capabilities in Mitie over the last 2, 3 years, and that's resulted in us being successful with Millsike, the U.K.'s first all-electric prison, where we successfully mobilized that prison and in the process of ramping up to full capacity. I was there yesterday and incredibly impressed by the standards that the Mitie people are delivering. But also that puts us in a good position, gives us a good foundation for future growth as more new prisons are getting built and more prison places coming available. And from an immigration point of view, we've all seen the increase in immigration centers. We have -- we are currently mobilizing our latest immigration center at Campsfield, and there's more new immigration centers being opened. And the third point is around the investments being made in the prison and probation estate, which is a significantly aging infrastructure and a current live contract in flight to upgrade all of those services. So 3 real key areas of interest for us with good capability and good opportunity for growth.
Phillip Bentley: I mean just to take a little bit more on that, as you saw on the Slide 17, I mean, the pipeline, as you touched on, I've got a great question from Alex, GBP 8 billion. I think it's fair to say we've got a couple of quite big ones in the BAFO stage at the moment. We won't say any more at this point. We don't want to jinx it. But there are some big jobs coming down the track.
Simon Kirkpatrick: And we should also say that whilst there is some concentration in immigration and Justice and Defense, actually, that growth in the pipeline that we've seen come through is spread across a number of sectors. So yes, immigration and defense, but also health care, transport and aviation, we've also seen some fairly chunky increases.
Phillip Bentley: Sam?
Samuel Dindol: Samuel from Stifel. Two questions from me, please. Firstly, on the strategic client directors, can you just remind us how they're incentivized and how you're sort of educating them about the Marlowe proposition? And then secondly, on facilities compliance, having covered Marlowe AMP8 and the water opportunity there is not something they particularly touched on. So I'd be interested to sort of get a sense of the opportunity you see now they're part of the bigger group and sort of what is going to be the typical AMP8 contracts you're sort of going to look to win?
Phillip Bentley: Yes. Why don't -- I mean, Mark, I might get you back to the front here with a mic if you come to the front once I set you up on the SCDs, I'll answer the facilities compliance point first because the SCDs, we used to call them SAMs, strategic account managers, but we want them to be much more strategic in business building. And I think it's fair to say we've had people who are good operationally, but not necessarily people who are good client on the client really understanding the client's breadth of the share of wallet. And that's where Kevin Tyrrell, our Sales Director, has been working hard on growing that out. But in terms of incentives, I mean, we've -- talk about some of the people we've got and then we know how they're incentivized. It's going to be on the growth of the business of the client and specific to their account in terms of profit, revenue, Net Promoter Score and employee engagement. But I'll just say a little bit about that.
Mark Caskey: In terms of our SCDs, we've identified our top 50 accounts. And part of their role and what we're supporting them with is bringing the best of everything of Mitie to the benefit of those clients, whether it's in hard services and engineering or soft services and/or projects. And what we've recognized as well is we're investing in our sales community or business development community to give them, let's say, the access to the resources to help them support our clients in terms of some of those conversations. Another area we're investing is our consulting capability. And again, whether it's workplace, facilities management, energy and sustainability consultants, we've got over 300 of them in the business, and we're allocating them to the SCDs to be able to have a different order of conversation with our clients to really bring the full value of Mitie to solving their business challenges and improving the value they get from their property portfolio. And as Phil said, on the incentives, we reward them for growth. We reward them for the full P&L stack that sits underneath their client responsibility.
Phillip Bentley: And on the pipeline, I could show you that, Sam, but you might go to see it. This is our top 30 opportunities from the Marlowe opportunity. And the first one, I'm not going to say it is, is GBP 47 million, the largest. The point I would make as well is that we don't have not yet scrubbed the pipeline and the order book for Marlowe. So there is nothing in there at the moment in the numbers. We'd expect to have done so when we've got it all in the CRM system, Kevin, and we've actually qualified these opportunities. But -- and I deliberately said the point I made that Marlowe were not public sector bidders. They ended up doing some work in hospitals, but that's because CBRE gave them the job and it was public sector, but they hadn't contracted directly with public sector. We opened up that completely now. And there's some big bids already in play where we've made bids. We're waiting for answers, and we'd hope to announce those quite soon. But the opportunity is probably bigger than I expected. And once we've scrubbed it -- and actually, this is where we need to pivot Marlowe away from -- I've euphemistically used this phrase before, fire extinguishers in Scout huts and get into proper B2B. That's where the price -- that's why we bought the business. And we're quite excited about what it could look like. Tom, yes.
Tom Callan: Tom Callan from Investec. I've also got 2. Just one on that GBP 2 billion pipeline that's BAFO. Can you just remind us in terms of the conversion -- the typical conversion of pipeline to order book and also typical contract length? Just trying to get a sense as what that might be...
Phillip Bentley: Kev, I might bring you in on that as well, the back there. I know you like hiding in the back. But our win rate on -- there's 2 types of wins. There's wins around -- there's retention and we give you that number, and it's running at 80%. It's quite volatile in terms of if you lost a big contract in a short period of time. And then we've got wins on cold calls and wins on projects as well and the rates of those. But Kevin has been our Sales Director now for about 18 months, and we've got a lot more analysis now. Is it 18 months or 12 months' I can't remember? 18 months.
Kevin Tyrrell: Yes. So conversion rate, we look at 2 different numbers. One of them is conversion rate of pipeline. The other one is conversion rate of tender win rate. So our tender win rate is things which come to market, we're actively bidding on. And our win rates have gone up into the low to mid-60s in the past 12 months. Our pipeline conversion rate is sitting about 27%. So it depends whether that pipeline converts into a tender, we bid on the tender, win rates are going up in that area.
Phillip Bentley: And I think that's -- it's a double-edged sword for us because we try and take all our private sector clients away from a tender process in what we would call an off-market deal. But that's exactly what our clients do to us. I mean, we went for BT, but it stayed with the incumbent. And the number of -- in tech services, a number of clients that were in the pipeline never came to market. because they rolled it with the incumbent. And it's why -- but in public sector, you can't do that. You can't just do a quiet deal. So it's why there's more volatility in public sector because that is a straight shoot out on a tender process. So that's why not all of that pipeline ever comes to us. But that -- and that's why there's a predominance in the pipeline of government. We know that's definitely going to come out. We might hope NatWest comes out next year, which we do, but we don't know if it'll ever see the light of day. Okay. There's another one, James. Are you sleeping, James? Didn't your wife have another baby?
James Beard: Still on the first one.
Phillip Bentley: All right...
James Beard: But not sleeping. James Beard at Deutsche Numis. I've got 3 questions, please. Firstly, going back to the projects business and the projected growth to GBP 2 billion revenues there. You've -- how much of that is driven by growth in -- expected growth in average ticket value versus just growth in the number of tickets that you're generating in that business going forward? Second question is on Marlowe. Can you just talk through what is happening with the existing customer base there, whether you are retaining or seeing the great of any sort of degree of retrenchment within that existing customer base? And then thirdly, on the telecoms business, noted the GBP 10 million profit swing in the first half. What is your expectation on the second half for that?
Phillip Bentley: Okay. I'm just in the mid of speeding it up because otherwise, we'll be here for a while. But I mean, the projects, it's a bit of both. We sell more jobs, but there's some very big jobs out there. If you look at Longcross was a GBP 90 million job at the data center, and that was for only 1/3 of the full potential there. So you get some sense of the size of the scale. And Longcross in when fully built out is 90 megs what's Harlow, that's a lot bigger.
Mark Caskey: It's 37 megs, but because they're densifying significantly, the amount of MEP you're putting into a data center now is increasing the average project size.
Phillip Bentley: So there's some big stuff there. When you can think about the battery energy storage deal that we announced, Staythorpe, that's GBP 70 million. And there's a lot -- there's a big pipeline in battery energy storage as well. And what was the statistic? We -- our company that we bought ironically out of administration, G2E has done what, 25% of the U.K.'s battery.
Mark Caskey: So the battery storage capability in the U.K. is about 4.5 gigawatts at the moment. And G2 Energy, which is the company that we acquired just over 2 years ago, have developed over 25% of that capacity in the U.K. And so they're a really powerful brand when it comes to investors and developers into energy storage and battery storage solutions.
Phillip Bentley: Okay. Marlowe, look, we -- it happens every time. Every time we buy a business, if they do any work with a couple of our sworn enemies, they cancel it straight away and Marlowe had a bit of that, but it's not material. We've got it -- and for every bit of business that a competitor has taken away from us, we have work that we were doing with third parties that we can now give Marlowe. So you're going to -- you're not going to see a big change in that number for now. And then on Telco...
Simon Kirkpatrick: Yes, just briefly on Telco. So you recall that we already initiated our turnaround plan on Telco, which was starting to have a positive effect in the second half of last year. And therefore, we won't see a big delta half-on-half this year versus last year in the second half.
Phillip Bentley: It's growth that we need one of the reasons why we pulled back, we shared work that we were losing money on essentially. And then what we want to do is try and rebuild from a profitable level, but we've taken the revenue down by 50% -- 40%. Chris?
Christopher Bamberry: Chris Bamberry, Peel Hunt. A couple of questions. You've also had a very successful period in terms of contract awards. How much would you put down that to what you've been doing over the past few years and perhaps what's been changing in terms of customer behavior? And secondly, on Slide 20, you identified GBP 0.5 billion of opportunities with 10 contracts. Just trying to get an idea of kind of a scale of uplift there, what was the revenues on those contracts?
Phillip Bentley: Do you have Kevin, on the 10 -- I don't know if I have that we have to come back to you if you haven't got it. The 10 -- we don't have the revenue -- not on the top of my head, we'll come back to you on that. It's a fair question as a percentage of uplift. But just -- I mean, a quick way of doing it a different way is our top 25 clients generate 25% of our revenue and our top 50 generate 50%.
Simon Kirkpatrick: It's a bit more than that actually, yes. So top 25 are closer to 40% actually. And the top 50 are just over 50%. So it's quite a concentration in that top 25. So given that we're taking the 10 largest there, we'll flesh it out.
Phillip Bentley: Yes, we'll flesh that one out. I forgot the second question. What was it? What was the second question? So it's about -- the question was around winning contracts. It's quite volatile. I mean, it surprises me in some ways that it keeps going up because it is dependent on the size of some of the deals that are out there and it drives a weighted average. A big -- a government contract, I can think of 2 government contracts that are GBP 2 billion together, okay, that were at BAFO. So -- and that can be -- and because it's -- our public sector win rate, Kevin, will probably be a little bit lower than the number you gave.
Kevin Tyrrell: So I guess there's a couple of things for me. I think building capability over the past few years, and we've seen all the capability we've built in our core FM service offering around hygiene, security and engineering, we continue to build. Continue to build capability around our project capability as well, strengthening of relationships on the back of really strong NPS. So strong NPS is the foundation for retention, which gives us the ability to continue to grow. So I think you apply good NPS, improving relationships with our clients, which we'll continue to do through the SCD program and building internal capability, the things which are enabling us to win.
Phillip Bentley: That was a much better answer than mine, actually. But it actually reminds me because we've never had a group Head of Sales. Now you may say that's rather shameful in our fault. But we used to leave each business unit running its own stuff, doing its own stuff. And in the end, we decided that wasn't a good idea. So 18 months ago, we brought them all under Kevin. And you've replaced quite a few people now. And we do it through a standard way of bidding, standard reviews, all of the data is in this CRM system. And we've just become a lot more methodical than we used to be. And that hasn't -- the value of that hasn't finished playing out yet. We've still got people literally just having joined us less than 6 months ago who are with a top track record. And one thing I'd say, we've not had any difficulty attracting talent into Mitie. Any more? Excellent. Thank you for your support, as always, and we'll see you at the drinks and not -- what is it? The 20 -- 20 something. Next week. If you're not invited, go and see Kate. Thanks, everyone.